Operator: Good morning, and welcome to PACCAR's fourth quarter 2007 earnings conference call. All lines will be in a listen-only mode until the question-and-answer session. Today's call is being recorded and if anyone has an objection, they should disconnect at this time. I would now like to introduce Mr. Ken Gangl, PACCAR's Vice President and Treasurer. Mr. Gangl, please go ahead.
Kenneth Gangl - Senior Vice President and Treasurer: Good morning. We'd like to welcome those listening by phone and those on the webcast. My name is Ken Gangl, Vice President and Treasurer of PACCAR and joining me this morning are Mark Pigott, Chairman and Chief Executive Officer and Michael Barclay, Vice President and Controller. As with prior conference calls, if there are members of the media participating, we request they participate in a listen-only mode. Certain information presented today will be forward-looking and involve risks and uncertainties including general economic and competitive conditions that may affect expected results. I would now like to introduce Mark Pigott.
Mark C. Pigott - Chairman and Chief Executive Officer: Good morning. PACCAR today announced the second highest level of revenues and net income in its 102-year history and a 69th consecutive year of earning a net profit. PACCAR's excellent performance reflects the company's global diversification, world-class technology, industry environmental leadership, and robust after-market parts and financial services business. During the year, PACCAR set the stage for further growth by investing record amounts in capital projects and research and development. For the quarter, net income was $261.1 million and for the full year net income was a little over $1.2 billion. Net sales and financial services revenue were $15.2 billion. What I’d like to note is this level of revenue was remarkable considering that the U.S. and Canadian class 8 industry retail sales were 46% lower than the previous year. Return on equity for the year was an outstanding 27.5% and return on revenue was 8.1% for the year. I'm very proud of our 21,000 employees, who've delivered these incredibly great results. In a second century, PACCAR is proactively investing in all aspects of the business in order to continue to deliver the highest quality products and services and grow revenues and profits at the same pace as the prior 10 years. PACCAR invested a record $92.1 million in research and development in the fourth quarter. Let's talk about what we're investing in. Three major growth initiatives are, number one, developing a new range of engines, as well as ramping up expenses to meet 2010 EPA and Euro 6 emission regulations. Number two, investing in a comprehensive multi-year program to design and launch new vehicle platforms worldwide These products will update our light, medium and heavy duty vehicles in Europe, North America and Asia. And three, we're working on many projects to enhance our manufacturing quality and efficiency, leadership, as well as developing new business programs for our after-market customer support and financial services. To highlight our increased levels of R&D and provide more transparency in our financial statements, R&D expense is now being shown as a separate line item in the income statement. Now a number of you have asked an excellent question, what are the benefits of these increased investments. Well, as most manufacturers in every industry in the world recognize, there are several. First, typically achieve a lower unit cost. Two, the after-market parts profit is usually greater than the manufacturing unit profit. Three, it enables you to improve assembly and service costs due to streamline material and engineering focus. And fourth, it enhances the performance of the products delivered to our customers due to integrated systems. Finally, one of the real benefits and key advantages for PACCAR is we have an excellent benchmarking process, and comparing our European versus North American production platforms we have found that the European model is more efficient. And as a note, about half the vehicles we produced last year already used PACCAR engines. Switching gears, one of the key enhancements in PACCAR's business over the last decade is its geographic diversity. DAF delivered a record 60,300 commercial vehicles and achieved record net profits. Mexico and Australia also experienced record demand for their outstanding products. PACCAR Financial Europe expanded its portfolio by 13%, $2.9 billion, and PacLease Europe was established with the acquisition of Truck Center houser, a number one independent truck leasing company in Germany. PACCAR also opened its sales and sourcing office in Shanghai, China. As a direct result of the strong global markets and our investments around the world, 64% of PACCAR's revenues last year were generated outside the U.S. Now, continuing on the investment theme, last year PACCAR increased its capital investments to a record level of $427 million. As you're aware, we're beginning construction of the $400 million state-of-the-art engine manufacturing and assembly facility in Columbus, Mississippi and that's on schedule. It will be planned to be open in late 2009 and will produce a 9.2 liter and 12.9 liter PACCAR diesel engines. These engines will be available to our customers in North America, as well as the engine supplied by our excellent suppliers. In addition, these engines will be available to be shift to DAF to meet their growing demand. PACCAR Parts opened its 12th parts distribution center in Oklahoma City and we began construction on our 13th center in Budapest, Hungary. Kenworth Truck Company completed a 30% capacity expansion of his Chillicothe plant and DAF completed a capacity improvements at its assembly plat and opened a $60 million 76,000 square foot engine test facility Eindhoven. These investments will enable PACCAR to meet future market demand and deliver excellent net profits to our shareholders. Turning to technology and environmental leadership, PACCAR became the first commercial vehicle OEM to implement chassis paint robotics first in the U.K. in 2006 and again at our Peterbilt Denton plant last year. Other innovative technologies include enhanced material logistics infrastructure at our PACCAR plants and 20 new world-class engine test cells. One of areas that's nears and dears to my heart and many of our employees is PACCAR's leadership in the environmental world. Peterbilt and Kenworth introduced the industry's first no-idle climate control and hotel power load solutions that reduce emissions by 12% and improve fuel economy by up to 8%. PACCAR was awarded the EPA's SmartWay designation in recognition of the fuel saving aerodynamic enhancements of many of the Kenworth models and Peterbilt models. And as you have seen in the last few press releases, PACCAR's medium duty hybrid vehicles will be in production mid year and are expected to deliver up to 30% better fuel economy. Finally, PACCAR and Eaton have teamed up to develop proprietary class-8 hybrid technology and that will be introduced in late 2009. And as a final note, probably what I most proud off is that every PACCAR manufacturing facility worldwide earned the prestigious ISO 14001 environmental certification. I am not sure of any other manufacturer has every one of their facilities meeting that strict regulation, very proud of our teams. Moving to the business, two of PACCAR's fastest growing businesses are Aftermarket Parts and Financial Services. Parts' record revenues of $2.3 billion last year surged almost 18% as PACCAR vehicles in use around the world grew to 1.5 million units. That's a lot of trucks. PACCAR Financial Services earned a record $284.1 million last year on record assets of $10.7 billion and with PacLease, now in Europe we expect to see continued Financial Services growth in Europe. Looking at the global marketplaces for 2008, we expect the Western and Central European 15 ton vehicle sector to have another excellent year, to be in the range of 330,000 to 350,000 units. Registrations last year were 340,000. And as a note this is Western and Central Europe and Central and including Eastern Europe is almost comparable to India and their growth of 6% to 8% GDP growth. So a very exciting marketplace where DAF is doing very well. The U.S. and Canadian market should be in the range of 175,000 to 215,000 units, reflecting continued economic softness through the first half of this year. PACCAR's other key markets including Australia, Mexico and our export business should experience favorable operating environments this year. Now as you know, PACCAR is all about quality, quality, quality. And even though the class 8 industry retail sales softened in the U.S. and Canada last year, Kenworth and Peterbilt achieved a record retail market share of 26.4%, up from the previous record of 25.3% as well as a record 12.6% in the Class 6,7. Kenworth became the first truck OEM to sweep all three major product segments in the 2007 J.D. Power Customer Satisfaction Study and Peterbilt was ranked the highest for the second consecutive year in the J.D. Power Medium-Duty Customer Study. And there was a J.D. Power Light-Duty and we were in it we would be hoping for a win there also. As we shared previously, PACCAR is the quality leader in all markets and we're increasing our investment to extend our quality advantage. PACCAR's focus on its shareholders and return to shareholders is legendary. 2007 was another exceptional year for PACCAR shareholders. Including dividends and share price appreciation, PACCAR shareholder return was 29.8% and again exceeded the Standard and Poor's 500 return for 1,3,5 and 10-year time periods. In 2007, PACCAR declared a 50% stock dividend; we increased the regular dividend by 35% and declared a special dividend of a $1 per share. Now I have been around a long time and I am pleased to say that PACCAR dividends have grown over 300% over the last 10 years. In addition, during 2007 the company repurchased a split adjusted 6.9 million of its common shares for an investment of $360 million. As PACCAR enters its 103rd year it has a very bright future. Thank you. I look forward to your questions. Question and Answer
Operator: [Operator instructions] Our first question comes from J.B. Groh with D.A. Davidson.
J.B. Groh - D.A. DAVIDSON: Morning guys.
Mark C. Pigott -:
Chairman and Chief Executive Officer: Good morning.
J.B. Groh - D.A. DAVIDSON: I appreciate you singling out the R&D cost for the year and I assume that the '07 numbers are going to show up in a filing on a quarterly basis, but could you… when I look at it year-over-year, pretty significant increase, do you attribute that to the new facility and is that sort of the level of spending kind of what we should expect understanding that you don't give guidance?
Mark C. Pigott -:
Chairman and Chief Executive Officer: You’ve been around.
J.B. Groh - D.A. DAVIDSON: Yes.
Mark C. Pigott -:
Chairman and Chief Executive Officer: The R&D, well I think we’ve gotten to a size and scale and sophistication that it made sense to break it out, so I do appreciate your comment on that. The facility, I am assuming you are talking about Columbus, really is not even a factor in the… let's call it the capital in R&D that we shared with you. I think as I outline sort of the three major and of course there are many, many projects underway, but the three major areas is the one that we have been working on and certainly investing in is brand new product ranges around the world and that’s been the driver and over time other projects will come in and take their share of the investment.
J.B. Groh - D.A. DAVIDSON: So when I look at the hybrid, your hotel power stuff and new engine, these are sort of things that safe to assume that this level of spending is probably par for the course?
Mark C. Pigott -:
Chairman and Chief Executive Officer: Yes, I think that's a great question, I think the R&D will be comparable to the last few quarters of '07 going through '08, we got a lot of exciting projects, and some of its timing... we're working on all new products at all of our major divisions at the same time and over the last 20 years, you are able to sequence those slightly differently but it just came up that at this time all of them are working on brand new products, so very exciting, it can be great for the customer.
J.B. Groh - D.A. DAVIDSON: Okay, thank you.
Mark C. Pigott -:
Chairman and Chief Executive Officer: Thank you.
Operator: Our next question comes from the line of Jonathan Steinmetz with Morgan Stanley.
Jonathan Steinmetz - Morgan Stanley: Great, thanks. Good morning everyone.
Mark C. Pigott - Chairman and Chief Executive Officer: Good morning Jonathan.
Jonathan Steinmetz - Morgan Stanley: Just a few follow-ups on the R&D, just I hopefully have this clear, what was it specifically that I guess kicked up between fourth quarter and third quarter, because it looks like you're spending in the range... if I average the first three quarters it’s about $55 million or so, give or take a quarter and it kicked up to over $90 million and I'm just trying to understand when you say this range do you mean $90 million type quarters on when I average out for the year sort of $250 million for a year?
Mark C. Pigott - Chairman and Chief Executive Officer: I think sort of the last, the third and fourth quarter that range.
Jonathan Steinmetz - Morgan Stanley: And what was the third-quarter number?
Mark C. Pigott - Chairman and Chief Executive Officer: It was a little bit less than the fourth.
Jonathan Steinmetz - Morgan Stanley: Okay.
Mark C. Pigott - Chairman and Chief Executive Officer: Yes. And I think to the first part of your question about what sort of accelerated... just taking on a lot of talented people, we got 2010 emissions are just two years away or less than two years away and DAF has a tremendous track record of being one of the first manufacturers to introduce to the marketplace very new emission regulations and so even though year '06 is really 2012 we would like to get it up perhaps a little bit sooner. And then just having a lot of new product development, a lot of factory enhancement, a lot of parts distribution centers being invested in and adding people there so that's... its really across-the-board very exciting and of course with a great balance sheet, we are able to do that.
Jonathan Steinmetz - Morgan Stanley: And if you add the 10 point sort of when, do you think you start to get a payback from some of this investment, what years would you highlight as sort of the timetable, what you really think a lot of it gets a return?
Mark C. Pigott - Chairman and Chief Executive Officer: Well I think a lot of this story is happening in the next couple of quarters. I mean we look at the investment in parts distribution centers, those start returning almost immediately. The new products take a number of years to develop but it's ongoing. As the markets... that the markets are very strong in Europe so we're getting the efficiency investments right a way and as the markets in North America return, those improvements will drop to the bottom line in short order. So, it's sort of near-term, medium-term and long-term, it's just over a number of different cycles.
Jonathan Steinmetz - Morgan Stanley: Okay. And last question is on the financial services side. The provision look like they kicked up here of course your book has gotten bigger but anything you are able to share with us in terms of either charge off rate or delinquencies, we sort of read a lot and hear a lot about truckers having some problem even freight environment any statistics you could share with us?
Mark C. Pigott - Chairman and Chief Executive Officer: Sure. First of all obviously even though freight is down, it's still one of the highest years in history and many of our customers are still generating very good profits but the financing environment is uneven to be kind. And we have seen a slight tick in some of the losses but on a very low level. Ken?
Kenneth Gangl - Senior Vice President and Treasurer: Yes. Our finance company portfolio continues to do well and we've seen some modest increase in past due and credit losses in the United States and Canada particularly in the housing sector. But overall portfolio performance is good. Now our write-offs net of recoveries globally moved from $14 million in 2006 to slightly over $26 million in 2007, on an asset base, in excess $10.7 billion.
Jonathan Steinmetz - Morgan Stanley: Terrific. Thank you very much.
Mark C. Pigott - Chairman and Chief Executive Officer: Thank you. Good questions.
Operator: Our next question comes from the line of Joel Tiss with Lehman Brothers.
Mark C. Pigott - Chairman and Chief Executive Officer: Hi, Joel.
Joel Tiss - Lehman Brothers: How are you?
Mark C. Pigott - Chairman and Chief Executive Officer: I'm good. How are you doing?
Joel Tiss - Lehman Brothers: All right. Happy Birthday, almost.
Mark C. Pigott - Chairman and Chief Executive Officer: You are very kind. I appreciate it. Everything is on the Internet, isn't it?
Joel Tiss - Lehman Brothers: Yes, exactly. I wonder if you could just give us as much color as you can on maybe factors causing the easing of your North American industry forecast a little bit and maybe or another way to ask the same thing, what would be some of the factors that would drive us towards the bottom end or towards top end of what people are looking for?
Mark C. Pigott - Chairman and Chief Executive Officer: Sure, I mean that's a great question obviously something that is discussed a great length in many companies, in many industries. But, Ken briefly mentioned that you have got the housing impact and I think we are all aware of the many industries that's affecting. So, President Bush outlined some stimuli of package and that hopefully those who will work that will be good. As certain segments of our customers are directly affected by the housing industry, whether it is for concrete or carrying lumber or light goods going to furnish homes. So when that starts to recover, it will be positive. Car production, pretty much all the big three, is going to have a lower year and most things that get brought into a car manufacturing facility are brought by truck. So that will have some impact and then just, I'd say consumer confidence and let's call it the retail mall sales, what effects that is going to have. So if one of those gets better, then there should be some benefit. As you know, Joel you have been following us for quite a while, we try to be conservative and every month that goes by you get a little bit smarter on what's happening in the marketplace. I would just point out and we've talked that North America is an important market but due to the growth around the world, Europe and of course the benefit of the euro versus the dollar, 64% of our business is now outside the U.S. which is probably a record. Does that help you out?
Joel Tiss - Lehman Brothers: Yes, that helps. Are you be able to give us any sort of even just very ballparky on the profitability of those revenues, 50/50 North America versus not or just any help there?
Mark C. Pigott - Chairman and Chief Executive Officer: Well, I would say that because of the volume and production levels in Europe, which you know is our DAF group as you know, versus the lower level that Kenwood and Peterbilt as in Canada that on a unit basis, Europe will be more profitable because of the efficiency but also more importantly just because of the volume going through the factories.
Joel Tiss - Lehman Brothers: Okay. And then last question, do you think you're going to be able to help your customers ease into higher prices before 2010 to just to help them cope with what our changes might be coming, so they don't have to absorb it all at once?
Mark C. Pigott - Chairman and Chief Executive Officer: Well, I think we always worked very closely with our customers. I think what we've learnt as an industry from 2007 and many of our customers, obviously we spent a lot of time with our customers is that 2007 went probably better than almost anybody expected. You know, if you really look at the adoption by the customers of the new engines and after the, let us call it the initial break-in period, the engines are performing well. Many customers would say, you know probably should not have bought so heavily in the "prebuy" and just add more of an even several year purchasing cycle. I think that will play into 9 and 10. So, I think that is actually good for customers, because they don't have money tied up in vehicles that may just be sitting in their yard. It's certainly good for the OEMs and the suppliers, because you don't get into sort of the ramp-up, ramp down scenario. And the cost... I think the industry is very efficient in terms of being able to parcel the cost out ultimately to the end consumer, which is pretty much how the industry works, and so I think it's... I think we've learned a lot and people are taking a much more pragmatic, balanced view.
Joel Tiss - Lehman Brothers: Okay, thank you very much.
Mark C. Pigott - Chairman and Chief Executive Officer: Thank you. I appreciate it.
Operator: Our next question comes from Peter Nesvold with Bear Stearns.
Mark C. Pigott - Chairman and Chief Executive Officer: Good morning Peter.
Peter Nesvold - Bear Stearns: Hi Mark. So, you are proud of the results as usual, I look at the stock chart when you are at 52 week low, stock is down 4.5% today or so. So, there is a bit of a disconnect I think with how people externally looking at the results these days versus how you guys are looking at them internally. And I think one thing that jumps off the page is this truck gross margins being the worst this quarter in six years. And what I want to understand just a little bit better and I know it has been touched on just a couple of times that the R&D… elevated R&D spend, I don't want to put words in your mouth, I just want to clarify it sounds like this runs through perhaps the end of '08, coincident with several new product introductions, bringing the new engine over to North America, investing in order to hit, 2012 in Europe. Would that perhaps, as we exit '08 or thereabout, we start going back to what the R&D looked like before. I just want to make sure that... perhaps we haven't hit some kind of structural inflection point where your gross margins are going to be lower in the intermediate term than what we have been accustomed to.
Mark C. Pigott - Chairman and Chief Executive Officer: Yes. It's an excellent question. PACCAR is doing well as I say, second best year in a 102-year history and most companies would be proud to have these results. And I am very proud of the team for delivering them. So thanks for your kind thoughts. In terms of the investment, this is a much more global, diverse company than it was 12, 10 years ago, 20 years ago. and we have many more projects going on. So, I think, one thought is the U.S. and Canadian truck marketplace is down 45% or more. That has an impact on the type of margins you are able to get in the marketplace. There is not a huge amount of demand. There is not a huge amount of business. So that has a definite impact. And I think we need to be aware of that. Good markets tend to lead to good margins. The investment we are making and have been, I mean we've invested a lot for 102 years. I think it's just at more of a little higher level, but looking to deliver higher profits. So, it's not an either or, the investments we are making throughout the company are first of all it's nice to be able to make these investments most companies cannot, but we are able to. So, we are investing it for really a couple of simple reasons. One to generate increased profitability and growth for our company and two to really deliver to our customers a very exciting range of products and processes, and services that will allow us to continue to grow and generate again more profit. So, it's a virtuous cycle.
Peter Nesvold - Bear Stearns: Okay. On the engine strategy, I am not really surprised to hear you are going with SCR in North America, and that's what you are use in DAF as I understand it?
Mark C. Pigott - Chairman and Chief Executive Officer: Correct.
Peter Nesvold - Bear Stearns: Doesn't it seem… I mean but one thing I've struggled with this aren't you going to encounter relatively complex engine strategy in 2010 with three different engine makers, we know the Cummins which I believe you continue to use although I guess it's a little unclear but…
Mark C. Pigott - Chairman and Chief Executive Officer: Excellent supplier partner.
Peter Nesvold - Bear Stearns: Okay. So, you are going to have Cummins, which has the existing footprint of the engine, but no SCR you are going to have the DAF or... I'm sorry the PACCAR engine which you we use SCR and CAT technology we are not quite sure what it's going to look like just. Yes, but CAT has gone down its own proprietary path in the past. So, can you support that level of complexity now that you have three different engine families, I suppose two historically, is really do you get that pay back in 2010 from supporting three different engines. Is that sufficient to pay for the complexity that’ll probably be required to cover all three different families?
Mark C. Pigott - Chairman and Chief Executive Officer: Well, the good news is we've been supporting three different design packages for quite a few years.
Peter Nesvold - Bear Stearns: North America, I expect DAF on its own… own path in North America.
Mark C. Pigott - Chairman and Chief Executive Officer: But, you can't really segregate them. So our engineering teams globally and there is quite a bit of benchmarking and sharing and collaborating have been supporting three, let's call it, platforms for over a decade and doing it very, very well. So for us, it's really not a change; in fact, I'd say, there's almost no change.
Peter Nesvold - Bear Stearns: [inaudible] a lot of detail in an earnings call but just physically, the pipes and everything is so different it would seem…
Mark C. Pigott - Chairman and Chief Executive Officer: I know but we've been doing it for over a decade.
Peter Nesvold - Bear Stearns: Okay, okay.
Mark C. Pigott - Chairman and Chief Executive Officer: So... and as far as the cost, typically the suppliers bear the cost of preparing their engines for installation into whatever vehicles they happen to sell them to.
Peter Nesvold - Bear Stearns: Okay. And if I may last... slip one last, final question. There was swing on the stock today is the outlook for no growth in Europe and granted, it was the same thing you were seeing last quarter, so it's not really a surprise but I'd say that your outlook for Europe is perhaps more muted than what we are seeing out of the European OEMs. Anything you could help me understand there? Why you are expecting taking the midpoint of your earlier range for flattish production in Europe, '07 versus '08?
Mark C. Pigott - Chairman and Chief Executive Officer: Well, of course, we didn't say we're having flattish production, we are just saying the market will be... we are saying the market could be another record which is always a good thing but we are increasing our production in Europe and as well as continuing to invest to increase our capacity and as I mentioned also, Central, Eastern European and DAF is the market share leader in Poland, the Czech Republic, Hungary and now moving into Turkey and another countries as well as being the leader in many Western European. So we're conservative always have been but what we have said in the press release and the comment is that, DAF is increasing capacity and we're looking for 20% share we are at 14% right now and we're putting in that capacity and capability and efficiency to deliver that over time. So we're very excited about it.
Peter Nesvold - Bear Stearns: And book-to-bill north of one in fourth quarter in Europe, so booking still growing faster than production?
Mark C. Pigott - Chairman and Chief Executive Officer: In Europe?
Peter Nesvold - Bear Stearns: Yes.
Mark C. Pigott - Chairman and Chief Executive Officer: Yes in fact we are quoting a year out.
Peter Nesvold - Bear Stearns: Okay. Thank you Mark.
Mark C. Pigott - Chairman and Chief Executive Officer: Good thanks, good questions.
Operator: Our next question is from Jamie Cook with Credit Suisse.
Mark C. Pigott - Chairman and Chief Executive Officer: Hi, Jamie.
Jamie Cook - Credit Suisse: Hi, Good morning. I guess my question just to follow-up on what everyone else is asking, you talked about the investments you're making and how that should lead to improved levels of profitability. And I guess what I am just to trying to figure out, you said we had the near term, medium and long-term bucket, and I guess I’m just trying to figure out which one is biggest, because the thing I am struggling with over the next three years, it seems like your costs are going to be up, your R&D costs are going to up for some period of time and it also seems like as we look at this cycle or we look at the pre-buy leading into 2010, that that's going to be lower versus where we thought. So I am looking at this and saying you know the Street's too high, so I am just trying to figure out, if you could help me, how to identify those three different buckets to see what I am missing?
Mark C. Pigott - Chairman and Chief Executive Officer: Well, first of all, let’s talk about the pre-buy. It'd be great if 2009 did not duplicate 2006, because it meant 2010 would be better than 2007, and that's a win for everybody in terms of a more moderate demand and increased profitability over the cycle. I mean it'd be great for our customers, it'd be great for our suppliers and it'd be great for the OEMs, and that's really what you want. We want the profitability over the cycle, and I think that's probably what you’re looking for also, that more consistent profitability. In terms of the benefits, when we bring on parts distribution centers, there's a benefit almost right away because we are able to stock and ship and satisfy our customers’ demands sort of right away. Capacity enhancements at the factory can once again benefit you right away, there's even more benefit as the bill rates improve and that's a function of typically the general economy. So, we'll see how the US and Canada... Canadian economy recovers. And then adding capacity in Europe, there's so much demand there, everybody is just trying to build as many vehicles we can. So, as we bring on more capacity that benefit is going to happen right away. So that... I would say that's sort of shot, medium term. Longer term, anybody that manufacturers anything in any industry in the world is always working on new products. We've always done it and we've set many, many standards and keep winning the quality awards, so we are working on brand new products as to say light, medium, heavy-duty, North America, Europe, and even products that we can sell into Asia. So, we got a lot of product development. As those come out, those take a number of years as you are aware. We look for great benefit there, so, I think it's actually each sequential bucket, if you will, pull this on late [ph] and we'll make a positive profit enhancement.
Jamie Cook - Credit Suisse: And then I just -- next back to Peter's question on your European forecast, while it's still pretty good in PACCAR, we’ll do better than the industry, is any of your guidance, sort of the flattish year-over-year growth, reflect above increased concerns about sort of the Western European economies?
Mark C. Pigott - Chairman and Chief Executive Officer: No. I think Central and Eastern will pick up anything that Western doesn't have, but right now in the truck world, there is the... well the GDP growth in Western Europe is still good. It might have slowed somewhat, but the trucks are not being impacted, and Central and Eastern Europe will more than pick that up.
Jamie Cook - Credit Suisse: Okay. And then just to actually... I am off that. Thank you.
Mark C. Pigott - Chairman and Chief Executive Officer: Okay, thank you. I appreciate it.
Operator: Our next question is from Andrew Casey with Wachovia Securities.
Mark C. Pigott - Chairman and Chief Executive Officer: Good morning, Andrew.
Andrew Casey - Wachovia Capital Markets, LLC: Good morning, Mark. How are you doing?
Mark C. Pigott - Chairman and Chief Executive Officer: Good. Thanks.
Andrew Casey - Wachovia Capital Markets, LLC: Good. I've got a couple of questions about top line and then a margin related question. First on the top line, just mainly in terms of growth rate, in Europe you reported all in growth rate was 38% in the quarter. That's down a little bit from Q3's 46%, but up Q2's 28%. I'm trying to understand the very instant quarterly growth rate. Was it Q3 performance really was due to easier comps in the '06 time period that then became more difficult again in Q4 and can you help me with that?
Mark C. Pigott - Chairman and Chief Executive Officer: Okay. Now, I think what you're getting at is the European growth being slightly lower in the fourth quarter and that's reflective of factory shutdowns that occurred over the holiday period that were used to improve our capacity going forward.
Andrew Casey - Wachovia Capital Markets, LLC: Okay. So, there were actually fewer production days in Q4 in Europe?
Mark C. Pigott - Chairman and Chief Executive Officer: Correct.
Andrew Casey - Wachovia Capital Markets, LLC: Okay.
Kenneth Gangl - Senior Vice President And Treasurer: And the good thing is we increased our efficiency and capacity so we can make more and generate improved margins and more total units. You have to invest in order to grow, that's the key.
Andrew Casey - Wachovia Capital Markets, LLC: Completely understand. Thank you.
Kenneth Gangl - Senior Vice President And Treasurer: Excellent. Good question. Thank you.
Andrew Casey - Wachovia Capital Markets, LLC: And if I could for a few more?
Kenneth Gangl - Senior Vice President And Treasurer: Go ahead.
Andrew Casey - Wachovia Capital Markets, LLC: On the other region, same type of question Q4, 3%; Q3 was 7%, is that a function of Canadian, Mexican earlier comps or did it take some shutdowns there as well?
Mark C. Pigott - Chairman and Chief Executive Officer: Well, the other would have Mexico and a same sort of scenario as we saw in Europe. Mexico introduced some new tax legislation, which impacted, well the entire country, not just our industry. And so there were fewer production days fourth quarter '07 versus fourth quarter '06 and I think that's really what you are seeing.
Andrew Casey - Wachovia Capital Markets, LLC: That persists in Q1?
Mark C. Pigott - Chairman and Chief Executive Officer: Well the tax legislation is now in effect and this is sort of an inventory valuation tax that is affecting well anybody that has inventory in any industry. So that's now being worked through the system and I think people are starting to get more comfortable with it.
Andrew Casey - Wachovia Capital Markets, LLC: Okay. And then lastly on the margin in Q4 was a down a little bit from the Q3, part of that has to do I am sure with this lower unit production days in Europe and unit volume declines North America, higher R&D expense.
Mark C. Pigott - Chairman and Chief Executive Officer: Correct.
Andrew Casey - Wachovia Capital Markets, LLC: Were there any other factors in Q4 that you would like to talk about?
Mark C. Pigott - Chairman and Chief Executive Officer: Well, I think you got it. Some factory expenses to keep enhancing them but I think you pretty much encapsulated it there.
Andrew Casey - Wachovia Capital Markets, LLC: Okay.
Mark C. Pigott - Chairman and Chief Executive Officer: And the good news is second best year in our history.
Andrew Casey - Wachovia Capital Markets, LLC: Congratulations.
Mark C. Pigott - Chairman and Chief Executive Officer: Yes. Thank you very much.
Andrew Casey - Wachovia Capital Markets, LLC: Thanks.
Operator: Our next question is from Andrew Obin with Merrill Lynch.
Mark C. Pigott - Chairman and Chief Executive Officer: Good morning Andrew.
Andrew Obin - Merrill Lynch: Yes, good morning. Just a clarification on your engine. You said that you are going to be using both SCR and EGR, so does that mean that there will be a PACCAR front engine that will not utilize SCR technology in 2010?
Mark C. Pigott - Chairman and Chief Executive Officer: No, the PACCAR engine will use a combination.
Andrew Obin - Merrill Lynch: Okay.
Mark C. Pigott - Chairman and Chief Executive Officer: Of SCR and EGR, so no, we will only have a unitary a single approach to emission regulations.
Andrew Obin - Merrill Lynch: So all PACCAR brand engines will require urea is that a fair statement.
Mark C. Pigott - Chairman and Chief Executive Officer: That is a correct statement and if you would like to talk in much more technical detail, we would be happy to take it offline and we've got a lot of incredible engine designers that would love to share their thoughts with you.
Andrew Obin - Merrill Lynch: Sure, the other part of the question. You highlighted significant investments in capacity expansion particularly in North America, and the question I have for you just theoretically how high do you think PACCAR's market share can go in North America, while maintaining its premium brand?
Mark C. Pigott - Chairman and Chief Executive Officer: Our number one focus is quality and return to shareholders and that's guided as for a 102 years and what is very satisfying and rewarding to our customers, our shareholders and employees is by adhering to that strategy market share increases because more and more people recognize the value of quality in terms of lowering their operating costs, higher resale values and just ease of attracting and retaining their drivers. So, I don't have an answer for you because it's all about quality and return to shareholders.
Andrew Obin - Merrill Lynch: But in the calculation that you make about better throughput through your factories and all the efficiencies that you gain from that, do you think that the price gap between Peterbilt and Kenworth and the rest of the industry will have to narrow somewhat over the next several years for you to utilize this capacity? Where do you think you can gain this market share with current pricing structure?
Mark C. Pigott - Chairman and Chief Executive Officer: We are investing to continue... we are the low cost manufacturer and the high quality deliverer of product, and that's where we keep investing in new products, higher quality, lower costs. So, certainly our teams are very focused on extending their advantage versus our competitors. In meaning, higher quality products continuing to be recognized by J.D. Powers, lower cost, more efficient, faster time to market place for new designs. That's where our energy and investments are really focused.
Andrew Obin - Merrill Lynch: So, you think you can close the gap on just being the most efficient manufacturer in the industry?
Mark C. Pigott - Chairman and Chief Executive Officer: Pardon me.
Andrew Obin - Merrill Lynch: You intend to stay ahead just by being... having the lowest cost and you can always… you will be competitive against anybody, because your cost will be better than anybody else's?
Mark C. Pigott - Chairman and Chief Executive Officer: That is certainly one element of it and the highest quality. It's all about quality for us. Quality, quality, quality.
Andrew Obin - Merrill Lynch: Thank you very much Mark.
Mark C. Pigott - Chairman and Chief Executive Officer: Thank you, I appreciate it.
Operator: Our next question is from Stephen Volkmann with J.P. Morgan.
Mark C. Pigott - Chairman and Chief Executive Officer: Good morning Stephen.
Stephen Volkmann - J.P. Morgan: Hi, good morning. Just a couple of details here I guess, since a lot of this has been asked. But can you… you commented in your release about the area distribution system. Can you just comment a little more on what you are doing to get that in place?
Mark C. Pigott - Chairman and Chief Executive Officer: Absolutely, it's a great question. Surely we are working with organizations such as the American Trucking Association, Manufacturers Association, other Industry Associations and also recognize that most of our competitors will also be introducing area. So, this is very much an industry driven initiative. So, then we're working with the chemical companies, we are working with oil companies, we are working with the independent trucks stop operators, we are working with a wide range of different OEM dealer networks to present a comprehensive and coordinated supply platform of area to people driving on the highways of North America.
Stephen Volkmann - J.P. Morgan: Okay. Would you anticipate that that would take any investment on your part, on PACCAR'S part?
Mark C. Pigott - Chairman and Chief Executive Officer: I think our investment is producing the highest quality product. Typically, say the chemical, oil and independent distributors truck stop operators, they look at this as another customer service and profit opportunity. So, I think they are the ones that are going to be investing.
Stephen Volkmann - J.P. Morgan: Okay. Great, and then just with 2007 now kind of in the rearview mirror, do you think that your customers saw any performance difference amongst the engine from your various suppliers?
Mark C. Pigott - Chairman and Chief Executive Officer: I think when you boil it all down and there was… as we say in England, swings at around [ph] about the performance was better than anticipated. And coming back to an earlier response to another good question, I think many of the customers we talk to, would say I probably should not have purchased so many new vehicles in the pre-buy and just had a more of a moderated approach. I think the technology is performing and people are happy and customers are making excellent profits, so I think we've all learnt from that.
Stephen Volkmann - J.P. Morgan: Okay. But just to push that one perhaps that further, there's no major difference amongst your suppliers in terms of performance and so forth from your customer’s viewpoint?
Mark C. Pigott - Chairman and Chief Executive Officer: Not that we can see. It very much comes down to local support and typically what dealers and customers are used to in terms of selling to the marketplace.
Stephen Volkmann - J.P. Morgan: Great, and then DAF in Europe, do you think DAF's market share in Eastern Europe is roughly sort of similar to Western Europe or is there either an opportunity or perhaps some outperformance in eastern Europe?
Mark C. Pigott - Chairman and Chief Executive Officer: Well, you know it varies by country, in some countries we have in Western Europe... I'll just kind of answer in two parts. In Western Europe we are one of the fastest growing, probably the fastest growing OEM and our shares will vary from over 30% in the UK, Holland, Belgium, to 15% Germany, France, and then maybe 10% Italy, Spain. If you look at Central Europe, we are at 20% share in Czech Republic, Poland, Hungary and probably less than that in Turkey and some of the stans and going into Russia. So, there is so much opportunity, it's very exciting. Of course we got the highest rated product keep winning these Truck of the year awards, it's just a great, great product range.
Stephen Volkmann - J.P. Morgan: Okay great. And then just one quick one on this whole sort of R&D and CAPEX outlook. I guess my assumption was that both R&D and CAPEX were likely to be elevated through the end of the decade as we work on the new engine and product platforms and so forth, and then sort of at least on the technology payback comes post-2010, when you start getting your vertical integration out there, you get to start to play in the parts business from the new engine and so forth, but that is clearly going to be a little future out there. Any comment on that observation?
Mark C. Pigott - Chairman and Chief Executive Officer: Well, we are looking for excellent profit return in all these investments and have a great track record of achieving excellent profit return. And as I mentioned to one of the earlier questions, there are different sequences and cycles depending on which capital investments or which expenses associated with different projects. Parts return almost immediately, you build something and you go out and work with the customers and sell more parts. Factory capacity and efficiency enhancements are short-term, medium-term, and long-term, they don't go away. New product development is more medium long-term. So, I think you are right in the assumption that we are growing, we were 16,15,17 billion in that range. We are looking to grow, that certainly has always been our focus. We want to grow our profits even faster than revenues. We have been able to achieve that for many decades. And you have to invest in order to grow. I know that some people were interested in let's call it breaking out of the R&D, but we've always had strong R&D, strong capital investment forever. I guess we are just maybe making it a little more transparent and that's what's maybe causing a little more interest.
Stephen Volkmann - J.P. Morgan: Transparency. I appreciate it and thank you.
Mark C. Pigott - Chairman and Chief Executive Officer: Right, good question. Thanks a lot.
Operator: Our next question is from John Kohler with Oppenheimer & Co.
Mark C. Pigott - Chairman and Chief Executive Officer: Good morning John.
John Kohler - Oppenheimer & Co.: Good morning. How are you?
Mark C. Pigott - Chairman and Chief Executive Officer: Good. Thanks.
John Kohler - Oppenheimer & Co.: Good. Quick question. Can you give a figure on 30-day delinquencies for the on balance sheet credit?
Mark C. Pigott - Chairman and Chief Executive Officer: We typically don't break that out for public consumption.
John Kohler - Oppenheimer & Co.: Okay. Is it comparable to PACCAR Financials credit performance? Is there a material difference between the two?
Mark C. Pigott - Chairman and Chief Executive Officer: I'm a little bit confused on the question then.
John Kohler - Oppenheimer & Co.: Well, if you don't break out the 30-day delinquencies...
Mark C. Pigott - Chairman and Chief Executive Officer: We break it out internally.
John Kohler - Oppenheimer & Co.: No, but if you don't allow for public consumption, is it... can I draw an inference from how PACCAR Financials credit performance is filed in the Qs with the SEC?
Mark C. Pigott - Chairman and Chief Executive Officer: Okay. Good question.
John Kohler - Oppenheimer & Co.: Is that comparable?
Mark C. Pigott - Chairman and Chief Executive Officer: As Ken mentioned, we are experiencing somewhat higher past dues in North America and very strong performance and lower past dues in the rest of the world. So, on balance our past dues on the overall portfolio are up compared to last year, but not a significant amount.
John Kohler - Oppenheimer & Co.: Okay, because the September figure showed 30-day delinquencies at 1.34%, which is up from 0.84% in a year-ago period in September. I imagine those got a little worse.
Mark C. Pigott - Chairman and Chief Executive Officer: Yes, well I think as we had mentioned, we've doubled the size of our portfolio in the last five, six years and we are very conservative in terms of the funding requirement that we're looking at from our customers, but were in excellent position and very proud that PACCAR Financial delivered another record year.
John Kohler - Oppenheimer & Co.: Okay. So is it safe to assume then the overall portfolio is running about 1% or so, 30-day delinquency?
Mark C. Pigott - Chairman and Chief Executive Officer: No, no, not at all. I'm not sure where you are getting that figure from. No, I mean, our portfolio is in fantastic shape.
John Kohler - Oppenheimer & Co.: Okay. Thanks.
Mark C. Pigott - Chairman and Chief Executive Officer: All right. Thanks.
Operator: Our next question is from [inaudible].
Mark C. Pigott - Chairman and Chief Executive Officer: Good morning.
Unidentified Analyst: Good morning Mark. Thanks for your time. I had a question on the financing side. I was wondering if you could tell us what proportion of your US sales you have actually in Finance?
Mark C. Pigott - Chairman and Chief Executive Officer: Typically 20%, 25%, 30%.
Unidentified Analyst: Thank you. That's helpful. And then, of the one that you don't finance, do you know is that because people don't want the financing or is it more because you have turned them down as being kind of full credit quality?
Mark C. Pigott - Chairman and Chief Executive Officer: It's a whole range of answers. There is no one; I bet there is ten different scenarios on the finance selection by the customer.
Unidentified Analyst: I mean, if you have to pick kind of the largest explanation, is it more coming down more or…
Mark C. Pigott - Chairman and Chief Executive Officer: It is basically a relationship with a home bank.
Unidentified Analyst: Do you think there is a lower credit quality people… the question is that you finance yourselves and you are worried about potential source of buyers exiting the market as credit standards tighten?
Mark C. Pigott - Chairman and Chief Executive Officer: Not really. No, no, we got great customers, we love our customers and we are working hard to provide a full service to them, and that would be financing, leasing, will even manage their inventory for them.
Unidentified Analyst: And the last thing I had was on your own standards and we keep telling that banks and mortgage providers on consumer credit, the bill that the standards are all being tightened across the US, have you guys implemented a tightening of standards yourself or is that something you'll only like to do this year if need be?
Mark C. Pigott - Chairman and Chief Executive Officer: I think we pride ourselves in probably having the most conservative standards in the financial industry and have for decades and decades. When you get into a turbulent financial market as we have seen around the world, certainly we review it and make some enhancements to our programs, that… they are very conservative. They are probably the most conservative in the industry. So, we will make enhancements, but as Ken indicated a very strong portfolio and we are moving forward.
Unidentified Analyst: Excellent, thanks for the time.
Mark C. Pigott - Chairman and Chief Executive Officer: Thank you, appreciate it, good questions.
Operator: Our next question is from David Bleustein with UBS Warburg.
Mark C. Pigott - Chairman and Chief Executive Officer: Good morning David.
David Bleustein - UBS Warburg: Good morning. Quick question for you. How do you sketch out PACCAR's growth path or do you have any designs on getting bigger in the military business and/or in Asia?
Mark C. Pigott - Chairman and Chief Executive Officer: Well, excellent question. Asia of course we have been there over a 100 years. We are a steady supplier in Asia, particularly in the more rigorous off road applications but also component sales. We opened an office in Shanghai to complement the one we have in Beijing. We are taking a strong look at India and with the world-class power train that we have, we are getting ongoing inquiries from people saying, like to purchase it and so we are selling some to bus manufacturers and other end customers. We are also starting to sell some of our, let's call it on highway product into Asia. So, that's an exciting growth market where I think everybody is aware that Asia is strong, but particularly China is still dominated by state-owned companies. So, over time that will evolve. In the military, we've had a strong presence in military, particularly in the 30s, 40s, 50s, we do some military in Europe, but don't really have any plans to do military in North America at this time.
David Bleustein - UBS Warburg: Terrific. Thanks.
Mark C. Pigott - Chairman and Chief Executive Officer: Good. Thanks a lot.
Operator: Our next question is from Michael Regan with Janus Capital.
Mark C. Pigott - Chairman and Chief Executive Officer: Good morning Michael.
Michael Regan - Janus Capital: Hi Mark how are you?
Mark C. Pigott - Chairman and Chief Executive Officer: Good thanks. How are you doing?
Michael Regan - Janus Capital: I missed in your earliest comments. Did you actually give the R&D by quarter for the first three quarters of the year and can you give us any R&D numbers for the past few years?
Mark C. Pigott - Chairman and Chief Executive Officer: No, we did not give… and you're talking about 2008?
Michael Regan - Janus Capital: No, R&D by quarter, the first three quarters of ' 07.
Mark C. Pigott - Chairman and Chief Executive Officer: We did not give those out and of course you will get them in the quarterly comparisons of '08-'07.
Michael Regan - Janus Capital: Well, Mark in the spirit of disclosure, let's not wait till the first three quarters of ‘08 to get the last three quarters of ‘07. And in the spirit of disclosure it will be really helpful if we could get R&D broken out going back, I would ask for ten years just so we can get some perspective through the cycle of what R&Ds look like, that would be helpful.
Mark C. Pigott - Chairman and Chief Executive Officer: I appreciate your input.
Michael Regan - Janus Capital: Thank you.
Mark C. Pigott - Chairman and Chief Executive Officer: Thank you.
Operator: Our next question is a follow-up question from Jonathan Steinmetz with Morgan Stanley.
Mark C. Pigott - Chairman and Chief Executive Officer: Hi Jonathan.
Jonathan Steinmetz - Morgan Stanley: Thanks Mark, just a few others here. In the other bucket of revenue, which is about $3.5 billion for the year, can you just talk a little bit about, you gave a forecast for Europe, forecast for the US and Canada markets. Can you talk just basically what you see in Mexico and Australia, which are pretty important markets for you in the other bucket.
Mark C. Pigott - Chairman and Chief Executive Officer: Of course Australia and Mexico both either have or have had their own emission regulations, and so last year Australia very strong, maybe a prebuy, but that continues to be strong down there. Mexico has the emissions coming up midyear of this year. They are working through the new tax capital inventory legislation that is really impacting every industry in Mexico, but over the next month or two that will work through. So, there will be I think another strong market in Mexico; of course Mexico continues to grow, so I think both good, solid markets.
Jonathan Steinmetz - Morgan Stanley: Okay. And did you give the impact of currency translations, specifically the euro on revenue and also EBIT in the quarter year-over-year?
Mark C. Pigott - Chairman and Chief Executive Officer: Okay. We've got those. The impact on revenues for the quarter was about $240 million and our net income was $25 million and for the year it was $630 million and income was about $70 million.
Jonathan Steinmetz - Morgan Stanley: Great. Thank you very much.
Mark C. Pigott - Chairman and Chief Executive Officer: Thank you. Good question.
Operator: Our next question is from David Campbell with Owl Creek.
Mark C. Pigott - Chairman and Chief Executive Officer: Good morning, David.
David Campbell - Owl Creek: Good morning. Thanks. I have got a currency related question too. Could you discuss what effect on you over the long-term currency exchange rates like the dollar, euro has on and how you expect market share and cost competitiveness to change over time?
Mark C. Pigott - Chairman and Chief Executive Officer: Well I think that is a great question, one of the... PACCAR is in a very fortunate position, because first of all we are the low-cost manufacturer in every market in which we manufacture. So, that's Mexico, US, Canada, Holland, Belgium and England. And we are typically not really shipping too many parts or components back and fourth. So, we are not trying to arbitrage the currency change. Now one of the potential benefits is as we bring our Mississippi engine plant on stream, it could be, I will just say could be a source of engine for DAF if there is maybe the currency is... exchange rates the correct way.
David Campbell - Owl Creek: I guess in speaking with your North American competitors who are going to address 2010 engine emissions without FDR, they claim that FDR adds as much as $10,000 to the cost of making the truck. I wonder if you could...
Mark C. Pigott - Chairman and Chief Executive Officer: I don't know who that is, because Mercedes is using as well as Volvo, they are having a whole lot of competitors out there.
David Campbell - Owl Creek: Navistar, and again I am not an engine engineer, so I just...
Mark C. Pigott - Chairman and Chief Executive Officer: I can't really comment, because I don't think they publish financial results. I am not sure what they are doing.
David Campbell - Owl Creek: Can you tell me your opinion on difference in cost between an in-cylinder solution and an FDR solution in Class 8 for example?
Mark C. Pigott - Chairman and Chief Executive Officer: Well I think we have had great success with that strategy and as every other major competitor has also adopted it. So, I think it really stands that it seems to be the preferred solution going forward.
David Campbell - Owl Creek: Directly to my question...
Mark C. Pigott - Chairman and Chief Executive Officer: We don't have that cost broken out at this time.
David Campbell - Owl Creek: Can you... and maybe this is going to perhaps… people who followed your company more closely are going to know the answer. I apologize if this is kind of a one-on-one level question, but why did you decide on FCR considering it is more complex?
Mark C. Pigott - Chairman and Chief Executive Officer: Well, I am not sure it is more complex and also we of course we are standard with it in Europe and having great success.
David Campbell - Owl Creek: So, is it fair to say that the fact you are already using it in Europe made it kind of unfair playing field between the two technologies?
Mark C. Pigott - Chairman and Chief Executive Officer: No, I won't say that's fair. I would say it is a very proven engineering solution to a complex problem that we have done a great job of engineering and it is providing excellent benefits to our customers.
Unidentified Company Representative: Are there any more questions?
Mark C. Pigott - Chairman and Chief Executive Officer: Not for me.
Operator: There are no other questions in queue at this time. Are there any additional remarks from the company?
Mark C. Pigott - Chairman and Chief Executive Officer: No. We thank the participants for their excellent questions and thank you operator.
Operator: Ladies and gentlemen, this concludes PACCAR's earnings call. Thank you for participating. You may now disconnect.